Unidentified Company Representative : Good afternoon, and thank you for joining AEye's Second Quarter 2024 Earnings Call. With me today are Matt Fish, Chief Executive Officer, and Conor Tierney, Chief Financial Officer. Earlier today, AEye announced its financial results for the second quarter 2024. A copy of this press release can be found on the company's website at investors.aeye.ai. Before we begin, I would like to remind participants that today's discussion may include forward-looking statements as defined in the securities laws and regulations of the United States with reference to future events, future operating results, or financial performance. Forward-looking statements are based on current expectations and assumptions regarding AEye's business, the industry, and other conditions. These forward-looking statements are subject to inherent risks, uncertainties, and changes in circumstances that are difficult or impossible to predict. Actual results may differ materially from those contemplated by these forward-looking statements. We caution you, therefore, against placing undue reliance on any of these forward-looking statements. You can find more information about the risks, uncertainties, and other factors in reports filed from time to time with the Securities and Exchange Commission, including in the most recent periodic report. All information discussed today is as of August 5, 2024, and AEye does not intend to update any forward-looking statements regardless of new information, future developments, or otherwise, except as may be required by law. In addition, today's discussion will include references to certain non-GAAP financial measures. These non-GAAP measures are presented for supplemental information purposes only and should not be considered as a substitute for financial information presented in accordance with GAAP. A reconciliation of the measures to the most directly comparable GAAP measures is available in the press release, and you should refer to these reconciliations of non-GAAP financial measures to the most directly comparable GAAP measures in the press release. With that, let me pass the call over to Matt.
Matt Fisch : Thanks, Betsy, and thank you all for joining us today on our second quarter 2024 earnings call. During the second quarter, we saw significant momentum with our new product launch, OEM and partner engagements, and bolstering of the company's cash runway. Our progress in meeting our internal and external KPIs was outstanding in the quarter. Since Q1, OEM and partner feedback on our newest product, Apollo, has been overwhelmingly positive and continues to drive a significant increase in interest from the market. We have not only met but exceeded our performance and maturity targets for Apollo. We view the uptick in activity as another sign of the demand for better value and greater performance from lidar technologies in general, but specifically in 1550 nanometer technology as OEMs and partners seek an ultra-long range, high speed lidar solution in a small form factor. Let me go into more detail. Regarding OEM discussions, we are actively engaged with multiple OEMs and initiated early engagements with several more in Q2. These discussions are primarily driven by the interest in Apollo. We believe the recent NHTSA ruling is also positively impacting our OEM discussions. As you recall, NHTSA has mandated automatic emergency braking or AEB as a requirement in all passenger cars, SUVs, and light trucks by 2029. The new regulatory standard sets a high bar. We are seeing OEMs that make performance at over 200 meters a crucial requirement to even be eligible to quote. We believe this favorably positions AEye and makes a strong case for 1550 nanometer lidar technology. We have demonstrated examples of AEye's lidar sensor performing at a distance of 1 kilometer, which we believe is the longest distance in the industry. We expect 1550 technology will be critical to delivering the required safety performance to meet the NHTSA requirements, including their toughest standard of a forward collision warning at 90 miles per hour. Importantly, Apollo achieves this without requiring OEMs to sacrifice design due to its industry-leading compact size. With respect to our Tier 1 partner, LITEON, we are seeing tangible results from their ability to leverage their supply chain coupled with their expertise in optics. We have successfully completed the technology transfer to them and are now jointly executing a significant product cost reduction initiative that we believe will bring incredibly competitive pricing to the market. LITEON’s global footprint also provides a distinct advantage in engaging with OEMs that are facing geographical supply chain restrictions while navigating geopolitical uncertainties. Similarly, we continue to make excellent progress with NVIDIA and believe we are on track for future integration with their Hyperion platform. We are pleased with the significant interest we see in China, with multiple OEM engagements following our Apollo launch in Suzhou in June. Our collaboration with ATI and LighTekton at the recent lidar conference in Suzhou was a great success. ATI also provided fantastic support for the Apollo launch and facilitated valuable OEM matchmaking opportunities. Overall, the market has responded favorably to our progress and new partnerships this quarter, which allowed us to raise capital at relatively favorable terms and extended our cash runway into the second half of 2025. Our team has done an excellent job of managing our expense targets, and we remain on track with the burn rates we committed to. While the U.S. and EU markets continue to progress at a measured pace, the Chinese market is leading globally in lidar adoption to the extent that we consider China to be a leading indicator of the future of lidar technology. These trends underscore the global shift towards advanced vehicle safety systems and the growing importance of lidar technology in achieving these goals. Lastly, our capital light model allows us to concentrate on key fundamentals, advancing our technology, attracting strategic partners, and driving company value with modest capital requirements compared to our peers. Success in the automotive industry hinges on a stable and reliable supply chain. Our approach with Apollo exemplifies this as it leverages a high degree of reuse within the existing supply chain. Additionally, our software-defined strategy has enabled rapid advancements in the product's capabilities, including going from concept to working samples of Apollo in only 6 months. This demonstrates AEye's unique flexibility in adapting to rapidly evolving market needs. Having secured additional financing through the New Circle Stock Purchase Agreement, which coupled with our cash reduction initiatives and capital light model, significantly extends our runway. We are entering a new stage in AEye's growth. We have our sights set on executing our go-to-market strategy for Apollo and actively pursuing product design wins. We expect our relationships with our partners to continue to drive OEM interest in AEye, and we are excited to be connected to top players in the China market in the global supply chain. Overall, our product development successes, financial performance, and market trends indicate a positive trajectory, and we are excited about the future of AEye. At this point, I would like to turn the call over to Conor who will cover our financial performance. Conor?
Conor Tierney : We are thrilled by the early progress that we are seeing in the Chinese market where we estimate the market opportunity for ultra-long range lidar to be $2.5 billion over the next three years. Our partnership with ATI is off to a strong start, and we are starting to make inroads with OEMs thanks to their support. We also continue to evaluate potential strategic investment opportunities. Driving down BOM costs is imperative to catalyzing market adoption and engaging in quoting activity with OEMs. We are making strong progress with the LITEON this front, which is generating increased interest from OEMs. As an established tier one that has brought other automotive components to the global market and with a track record of industrializing products, LITEON is seen as a net positive by OEMs. AEye's capital-light business model, which reduces risk and will drive operating leverage as we scale in the future, sets us apart from the competition. Our burn rate is now up to 10x lower than our peers. We think this is very crucial in the current environment where fundamentals matter. Capital is scarce, and investors are focused on sustainable business models that can withstand market headwinds. We are pleased with the momentum that we have been able to achieve in bringing Apollo to market, all while continuing to drive down costs. During the second quarter, we raised $5.2 million in new capital net of financing costs. This has further extended our cash runway into the second half of 2025. We also recently closed a new equity line of credit facility that gives us access to up to $50 million in additional liquidity. When factoring this equity line of credit facility with our ongoing cost savings initiatives, including any additional funds raised from capital market activity. We believe AEye has the financial resources to potentially create a 4-year cash runway while also bringing Apollo to market and pursuing potential program design wins. Now turning to our second quarter financial results. I am happy to announce that we have reduced our net cash burn for the fifth consecutive quarter. Excluding new financing, our cash burn for the second quarter was $6.2 million down from $7.6 million in the first quarter and better than our guidance of $6.7 million. Second quarter GAAP operating expenses were $8.1 million down 23% from the prior quarter due primarily to reductions in personnel costs and professional fees, partially offset by higher R&D expenses related to Apollo. Non-GAAP operating expenses were $6.4 million down sequentially from $7.5 million in the first quarter of 2024 due primarily to the timing of higher audit related fees and onetime legal fees in the first quarter. We reported a second quarter GAAP net loss of $8 million or $1.16 per share versus a GAAP net loss of $10.2 million or $1.61 per share in the first quarter of 2024. The decrease in GAAP net loss was mainly due to the timing of higher audit related fees and onetime legal fees in the first quarter. On a non-GAAP basis, our net loss was $6.2 million or $0.91 per share in the second quarter compared to a non-GAAP net loss of $7.2 million or $1.13 per share in the first quarter of 2024. Net cash used for operating activities decreased to $6.4 million in the second quarter from $7.9 million in the first quarter. We closed the second quarter with $28 million of cash, cash equivalents and marketable securities. Turning to 2024 guidance, we are incredibly proud of the progress that we have made in our continued cash burn reduction efforts. We are on track to outperform our burn guidance of $25 million for the full year, thanks to payroll and other savings. Expense management remains one of our top priorities. We're still targeting a 75% reduction in quarterly cash burn compared to the first quarter of 2023. We are optimistic about AEye's future. Our partnership model is unlocking market opportunities for us and positioning the company for scalable success. We have strengthened our balance sheet, extended our cash runway, and secured access to even more liquidity. With that, I'll pass it back to Matt to wrap things up.
Matt Fisch : This quarter has been a period of gaining momentum for us. We have made great strides in our KPIs, customer engagements, product development, and partnerships. We believe the next chapter of AI will be an exciting one, and we look forward to sharing more with you in the near future. If you are able, we invite you to join us at the JPMorgan Auto Conference in New York this week. We look forward to meeting you there. You can also see our presentation live through a link on the Investor Relations page of our website. Thank you all for your continued support and participation today.
Unidentified Company Representative : Thank you, Matt and Conor. Operator, you may now open the call to questions. Thank you.
Q - Kevin Garrigan : So to start, you noted your partnerships with ATI and LighTekton have led to OEM introductions. Any timelines you can give on potential series production agreement announcements? And then I think last quarter you had noted some use cases where autonomous trucking and railway systems. Any new use cases to point out?
Matt Fisch : Thanks, Kevin. Welcome back. Thanks for joining us again. So not a lot of big delta from what we discussed last quarter. Even with these new discussions coming in and the amount of interest that we're seeing on the long-range higher performance product coming from our China connection. In terms of SOPs, we're still looking at maybe as early as 2027 in those conversations. I think as you know that the lead time in some of these OEM programs, it could be around two years, maybe a little bit longer. So I would say the timeline of the engagements with the newer ones coming in, is still very similar to what we've been seeing, what we talked about last quarter. The good news is the amount of interest is picking up, so we have more of those conversations ongoing.
Kevin Garrigan : Got it. Got it. Okay. Yeah. That makes sense. And then some of the RFIs and RFQs that you're seeing, I know demand and production, I know S&P Global had cut their estimates recently. Are you seeing any more pushes to the right for some of these RFIs and RFQs?
Matt Fisch : I think it's, steady as she goes is probably, the operative word on this, Kevin. I think if anything, we've got this NHTSA requirement that came out there earlier this year. This is driving some increased interest in, hey. What happens when the car is traveling at a high rate of speed? And it's not just autonomy anymore. It's automatic emergency braking in the U.S., example. So, fairly consistent timelines and increased interest in high-speed applications, which we covered in earning script is it plays quite well for the technology platform that you we use, which is 1550 nanometer lidar allows us to see very far down the road. So increased number of conversations, but the timelines appear to be holding.
Kevin Garrigan : Yeah. Got it. Okay. Perfect. And then just last one if I can. I know you guys are using partners such as LITEON and ATI and LighTekton, and I think that's very smart. But any kind of hesitation from some Chinese customers that may be worried about any U.S.-China tension going on?
Matt Fisch : Look, I think, the important part of this relationship is to be able to have a local base supply chain and be able to move very quickly. The market in China is incredibly demanding. Speed and velocity of innovation and being able to adapt to the customer's needs that are also changing fairly quickly is first and foremost. So our partnership with ATI and LighTekton has been received quite well, as we rolled it out in the lidar show last month. And they seem to be fairly well respected in the ecosystem. So no word flags there. There's local support on the ground, which we have through LighTekton, local manufacturing-based supply chain, which we have through ATI. This is checking the major boxes for those potential OEMs.
Kevin Garrigan : Okay. Perfect. Thank you.
Operator: Thank you. I'm not showing any further questions. This concludes the Q&A session. You may now disconnect. Everyone, have a great day.